Operator: Good day, ladies and gentlemen, and welcome to the SJW second quarter financial results conference call. My name is Katie and I'll be your coordinator for today. At this time, all participants will be in a listen-only mode. We'll be conducting a question-and-answer session towards the end of this conference. If at any time during the call you require assistance, please key star followed by zero and an operator would be happy to assist you. I'd now like to now turn the call over to your host for today, Ms. Suzy Papazian, Corporate Secretary/Attorney. Ma’am, you may proceed.
Suzy Papazian: Thank you, operator. Welcome, everyone, to the second quarter 2008 financial results conference call for SJW Corp. Presenting today are Richard Roth, President and Chief Executive Officer; and Angela Yip, Chief Financial Officer. Before we begin today's presentation, I'd like to remind you that yesterday's press release and its presentation may contain forward-looking statements. We wish to caution you that these statements are just projections and that actual results and the timing of future events may differ materially. For a description of factors that could cause actual results to be different from statements in the release and in this presentation, we refer you to the press release and to the Annual Report on Form 10-K filed with the Securities and Exchange Commission on March 10, 2008 and the report on Form 10-Q filed on May 8, 2008. All forward-looking statements are made as of today, and SJW Corp disclaims any duty to update or revise such statements. You'll have the opportunity to ask questions at the end of the presentation. As a reminder, this webcast will be available until October 22, 2008. You can access the release and the webcast at the corporate Web site www.sjwater.com. I'll now turn the call over to Rich.
Richard Roth: Thank you, Suzy, and thank you all for joining us today. I'm Richard Roth, the President and Chief Executive Officer of SJW. Together with our Chief Financial Officer, Angela Yip, I'm pleased to provide you with SJW's second quarter results for 2008. I would like to begin by acknowledging two important changes to SJW’s Executive Management Team that will enhance our ability to operate effectively and execute our business plan. Effective of August 11, 2008 Angela Yip will be promoted to the position of Executive Vice President of Finance of SJW Corp and San Jose Water Company and David Green will be appointed Chief Financial Officer and Treasurer. The accounting and finance functions at SJW like many other companies have expanded with new SEC, NYSE and accounting rules and regulations. We determine that to comply with the new regulations and run our business effectively two top level financial executives are necessary to effectively administer the accounting and finance functions. In Angela and David SJW has two superb financial executives to serve the company and its various stakeholders. Angela’s depth and breadth of accounting, tax, regulatory and financial expertise combined with her extensive institutional knowledge will help ensure effective financial planning and capital allocation at SJW. As SJW’s new Chief Financial Officer and Treasurer, David will assume executive responsibility for management of the accounting function and the development of financial information. It is a tribute to the quality of character and commitment of SJW’s executives, in particular Angela that we are able to make this important change with little disruption to the company’s operation. It is a distinct pleasure to work with such a fine team of executives. During this morning’s call, I'll discuss briefly our second quarter results before turning the call over to Angela for a more detailed discussion of those results. Following Angela’s presentation, I would like to focus on the key drivers of our financial results, the emerging structural and strategic issues, and critical regulatory and water sector developments impacting our business. I am particularly pleased with SJW’s ability to consistently weather challenging operating and economic environments and generate strong results. Second quarter revenue increased 9% to $60.1 million while operating expenses increased just 7% as a result of a conscious effort to control costs. SJW earned $0.34 per diluted common share in the quarter compared with $0.29 a year ago. Factors contributing to our strong results are strong fundamentals and a sustainable financial model. SJW’s strong balance sheet and a quality asset base enabled the company to fund significant investments in our water system and increase the shareholder dividend without compromising the company’s overall financial well being. Secondly, regional operating model and proven ability to control costs, SJW’s regional approach to the water utility business and disciplined expense management resulted in overall lower costs of doing business. On a daily basis, SJW effectively manages energy and water supply costs with the use of advanced energy management software and technology. SJW’s green business program has been effective in reducing waste and increasing the efficiency of resource utilization. Employees at all levels of the organization are rewarded for innovative and effective ways to reduce resource consumption. The company has successfully managed legacy cost by freezing the number of participants in our traditional defined benefit retirement plans which will have the effect of gradually eliminating these plans and transitioning to cash balance benefit formulas for all new employees. The third factor driving SJW’s strong results is execution. Having a plan is one thing, executing the plan is yet another. The importance of engaging employees, managing resources, controlling costs and otherwise executing our business plan is a key focus at SJW. As Angela will report shortly, the company remains consistently profitable in spite of some very challenging times. This would not be possible without a cogent plan and deliberate execution. We are also realizing the benefits of improved communications, enhanced working environments and streamlined work flows resulting from our new facilities. The move to our new headquarters building and the relocation and reconsolidation of customer service, billing and IT functions to the Bascom Avenue campus were achieved with no significant interruptions in customer service or other water system operations. Before I turn the call over to Angela, I would like to provide you with an update on water supply as it relates to our California operations and comment briefly on the welfares [ph] that have occurred across the state. We reported during the last conference call that local rainfall and surface water storage during the first quarter of 2008 were lower than the five-year average but higher than the first quarter of 2007. Due to a warm and dry spring season, the same was true through the end of the second quarter. That said, our results benefited from having a greater supply of surface water available versus the same period in 2007. I spoke briefly last quarter about the impact of water supplies of recent court rulings aimed at protecting endangered species in the San Joaquin-Sacramento River Delta. Those rulings suggested that water deliveries to the state and federal water projects may be reduced in future years depending on rainfall, ecological concerns or water supply conditions. The continuing dry weather in California and concerns about the Delta prompted Governor Schwarzenegger on June 3, 2008 to issue an executive order declaring a state-wide emergency. The order directed state agencies to take immediate action to address drought conditions and any water delivery reductions by expediting grant programs, technical assistance and water conservation outreach. The order did not mandate water use restrictions or reductions. We are working with the Santa Clara Valley Water District, our primary water supplier, to assess the potential impacts of the executive order on water supplies in our service area. Our initial assessment is that the governor’s actions take steps to address critical water shortages in the state central valley region and send a strong political message to the legislature and public regarding the need for a Delta fix and additional water storage projects. As we have said before, our local water supplies remain adequate. As a contingency for the possibility of a third consecutive dry year in 2009, the Santa Clara Valley Water District has continued to ask the public to voluntary reduce water usage by 10%. In 2008, SJW expects to receive full contract deliveries from the Santa Clara Valley Water District. We also have the groundwater supplies and pumping capacity to offset any temporary reductions in contract deliveries and we are authorized to maintain balancing accounts that allow us to recover price increases in groundwater extraction charges and purchased water costs. Further, the California Public Utility Commission has issued a proposed decision regarding SJW’s conservation based rate. The proposed decision adopts in principle the agreement between San Jose Water Company and the division of (inaudible) including the implementation of tier grade the establishment of a revenue adjustment mechanism and no reduction in our allowed return on equity that may be applied to other water utilities. We expect that conservation rates will be approved for implementation in early 2009. California is experiencing one of the worst and earliest fire seasons in decades. Fortunately, none of SJW’s watershed properties have been impacted. We are continuing to work with State Department of Forestry and Fire Protection regarding our application for the non-industrial timber management plan to reduce fuel loads on our watershed property in the Santa Cruz Mountains. The company firmly believes that the fuel reduction strategies proposed in the plan will reduce the fire hazard on our properties. I would now like to turn the call over to Angela for her report.
Angela Yip: Good morning everyone and thank you Rich for your kind words. I look forward to continue to serve SJW Corp in my new capacity and to working with David. As Rich said, we are pleased with our results for the second quarter. The key for SJW Corp has long been our ability to serve our customers in times of plenty and scarcity of water while delivering good results to our shareholders. Our proven ability to manage our operating cost was obtained this quarter. In the second quarter of 2008, total operating revenue was $60.1 million, an increase of 8.9% compared to $55.1 million in the second quarter of 2007. For the quarter, net income was $6.3 million compared to $5.4 million for the same period in 2007. Basic and fully diluted earnings were $0.34 per share compared to $0.30 and $0.29 per share respectively for the same period in 2007. Rates were higher than a year ago in both California and Texas and this along with new customer connections contribute about $3.7 million to revenue. Increasing consumption by existing customers contributed approximately $1.3 million versus a year ago. Sales from the Texas operation have recovered nicely from a year ago when the area was impacted by severe weather including very heavy rainfall. Water production costs were higher this quarter versus a year ago, particularly costs for groundwater extraction and purchase water unit cost, these factors along with higher usage were partly offset by our greater use of service water supply versus a year ago. Together these factors resulted in an overall increase of approximately $1.5 million or 3% of total operating expenses in the second quarter 2008 compared to the same quarter in 2007. The rising cost of energy impacts business operations from mounting fuel prices to burgeoning costs of petroleum products which is used in our day-to-day operations. As I have mentioned, a key focus for us is cost control. We deliver on this metric quarter after quarter partially due to the way we do our business which is tacitly adopting long-term best practice measures like using fuel-efficient automobiles, a cash balance retirement plan and solar energy power pump stations. Such measures enhance our corporate cost control strategy reducing the company’s exposure to volatile economic forces and aligning the company’s future (inaudible) resources to address its critical issues at the appropriate time. In the second quarter, operating expenses excluding water production cost increased 4.2% of total operating expenses. General and administrative expenses, maintenance, non-income taxes and other operating expense combined increase it by 2.4% of total operating expenses. During the second quarter, we did complete the move to our new headquarters as Rich mentioned and received some additional G&A expense as the result of the move. Income tax expense increased by $474,000 in the second quarter compared to the same quarter last year due to higher income. Depreciation and amortization expense increased $312,000 in the quarter due to improvements in water company plants versus a year ago. Now, changes in the market value of our investment in California Water Service Group incurred a net of tax comprehensive loss of $3.5 million in the second quarter 2008. Our Land Company investment continued to produce cash flow exceeding reported operating results due to non-cash charges like depreciation. The creation of the Land Company with all of our cash flow, the Land Company is a repository of relative stables and long-term appreciable assets that require minimal management resources. The Land Company and our investment in California Water Service Group contribute cash to finance dividends. This will be my last earnings call presentation to the investors. Starting from next quarter David Green, our newly appointed CFO, will be providing you information on financial results on SJW Corp. It has been my pleasure to address this audience and to get to know you. Thank you for your continuing interest in SJW Corp. This concludes the financial portion of this call and I would now turn the call back to Rich, Rich?
Richard Roth: Thank you, Angela. As you heard from Angela, SJW Corp. delivered another solid quarter of earnings and growth. As I have said previously, we manage SJW for the long term rather than on a quarter-to-quarter basis. Weather cycles and rainfall will continue to impact short-term results; however, SJW operates on a proven model and a durable philosophy that grows our capital base and optimizes our earnings potential. Our choice of business platforms and operating strategies are reflected in that model and our ability to execute is demonstrated by our track record of consistently achieving our authorized returns on equity. In that context it is useful to regularly report on the execution of our business plan including the drivers of results as some of the key political and other issues shaping our strategy. Our business plan is fairly simple and organized according to distinctions between regulated and non-regulated activity. The two regulated components of our business plan are our California and Texas water utilities that operate as regional platforms. There are two non-regulated components, SJW Land Company and our non-regulated water service business. The Land Company of course holds our real estate investments. Water services are carried out by San Jose Water Company under excess capacity guidelines established by the California Public Utilities Commission. Each of our four business components has a unique set of drivers and issues that impact our growth strategies. I would like to spend the bulk of my time on our regulated business entities with just a few brief comments about Land Company and non-regulated water services. SJW Land Company holds real estate assets with a business model focused on converting non-income producing assets into income producing assets. This generally occurs through tax of deferred exchanges that maximize the amount of capital they hold for investment. Our quality asset base provides reliable cash flow and a substantial capital reserve. We strive to keep our risk profile in line with our regulated business entities by not placing too much debt on our real estate holdings. Our non-regulated water services business focuses on leveraging San Jose Water Company’s core competencies and providing utility services to local municipalities, agencies and other private water companies. We operate the City of Cupertino’s water system under a 25-year lease concession and provide main installation and repair, cross-connection control, remittance processing and other services to a variety of local utilities. We are hopeful that the quality of our work and the excellent reputation we have established will eventually lead to opportunities to expand the scope of services and/or acquire additional nearby systems. San Jose Water Company is SJW’s flagship utility serving the Metropolitan San Jose area. The regulated water utility is our core business and results are driven by our ability to achieve authorized rates of return through efficient operations and deployment of capital. The company has a track record of timely rate recovery and consistently earning its authorized rate of return. The company’s growth strategies mirror its key drivers. For example, infrastructure replacement is an important organic growth story for SJW Corp. We have approximately 2400 miles of (inaudible) and more than 100 wells many of which are reaching the end of their useful life. Regulators have historically supported our long-term infrastructure replacement programs and as I stated earlier, we have been increasing our capital budget by 6% to 8% per year. Our current authorized rate of return on common equity in the water company is 10.13%. Customer and service area growth at San Jose Water Company is modest relatively speaking due to the size of inventory of its service area. We are keenly aware of and focused on the acquisition of adjoining water systems but these may be long-term prospects. Water supply has become an important driver of results because managing San Jose Water Company’s supply mix can significantly impact financial results. As I mentioned earlier, SJW’s surplus water supply are below five-year averages. Although overall supplies remain adequate the water supply cost structure is resulting in higher cost due to increased use of pump and purchased water. This elevates the importance of effective budgeting and cost control in the water supply and operations area. The water supply issues facing California and Texas represent both a challenge and an opportunity. We believe viable solutions exist to water supply issues and furthermore that SJW is uniquely qualified and positioned to bring greater efficiency to the process of augmenting water supply. One of the most compelling opportunities is the development and expansion of the use of recycled water. All large western cities have wastewater treatment plants yet few have fully embraced or developed recycled water as a water resource. New technologies provide for advanced treatment of wastewater making it possible to augment underground aquifers through direct recharge as well as to use recycled water in dual distribution systems for landscape watering and other approved uses. San Jose Water Company is currently delivering recycled water in our service area. We are also actively working with regulators and local public entities to expand the use of recycled water and extend the recycled water distribution network. Further, we have formally notified the local public works operators of our desire to participate on a broad level and we are exploring strategic alliances with companies already presenting this expertise so that we may leverage our resources and develop comprehensive integrated regional water supply solutions. California Governor Schwarzenegger and US Senator Dianne Feinstein recently proposed a massive funding bill for water projects throughout California. We are watching with great interest as this proposal is refined and we will pursue opportunities to participate in some of these contemplated infrastructure projects like additional water storage, water supply and recycling projects. Although we are a willing partner and support local water conservation programs, we believe additional new suppliers are required. We have supported and will continue to support the California Public Utility Commission’s Water Action Plant, and as I said before, we are working with the Commission to implement conservation rates in early 2009. SJWTX Inc is SJW’s Texas platform. We do business as Canyon Lake Water Service Company serving 8500 connections in the Texas hill country between Austin and San Antonio. While possessing many similarities to San Jose Water Company, the key drivers for SJWTX are growth in service area and connections through acquisitions and build out of its large existing service area. Important differences in the drivers for Texas are the much stronger demand from developers, a more fertile environment for growth through acquisitions and the need for managing water resources to support that growth. We are pleased with SJWTX’s growth in connections and service area. This validates our business plan and demonstrates that we are executing as per our plan. Additionally it speaks to the wisdom and effectiveness of our business and operating model. All of our acquisitions have to satisfy four important criteria. One, the price has to be right. Two, there needs to be an opportunity to grow. Three, the regulatory environment must be positive. Finally, there must be adequate water supplies. Targeted acquisitions with these criteria make sense for our customers and our shareholders. We are confident that a disciplined acquisition plan accompanied by superior customer service and reasonable justifiable rates will resolve any protracted expansion of SJWTX. Our vision for the success of our regional platforms includes the integration of superb operation, execution of a durable and sustainable business plan, and adequate water supply. In closing, we believe that our proven business model, regional platforms, and operating strategy will continue to provide SJW customers with superior service levels, reliable water supplies and reasonable rates and SJW shareholders with a growing asset base, a healthy balance sheet, and excellent returns. That concludes my remarks for today. I would like to open up the floor to our questions. Operator?
Operator: (Operator instructions) Your first question comes from the line of Heike Doerr, Janney Montgomery Scott. Please proceed.
Heike Doerr – Janney Montgomery Scott: Good morning. Congratulations on a solid quarter.
Richard Roth: Thanks Heike.
Heike Doerr – Janney Montgomery Scott: A quick question, perhaps I had missed this, did you break out – I know you had said that you had a greater supply of service water in the second quarter which helped the results, did you give us what that percentage was and can you maybe talk about how it is looking for the third quarter since the executive order from Schwarzenegger?
Angela Yip: We believe that the service water supply level for 2008 will continue to be better than 2007 although as what we have said basically the water supply level at this point of time is still below the five-year average.
Heike Doerr – Janney Montgomery Scott: Okay, that’s helpful. I know some of the other water utilities in California are currently undergoing a cost of capital proceeding. How will their result impact you and when is it your turn to take care of that?
Richard Roth: Well, there is two phases as I understand it and I am going to allow Angela to interrupt me when she needs to but we are in the second phase of the cost capital proceedings. There are two phases and the first one is underway and we are yet to participate or to have our phase of the hearings, the cost capital hearings to participate in those. So, we are still in the queue for that.
Heike Doerr – Janney Montgomery Scott: And that will be separate from any increase, correct?
Richard Roth: Yes, they are trying to bifurcate or separate the cost capital proceeding from expense determination and other associate revenue requirements.
Heike Doerr – Janney Montgomery Scott: Okay. Has there been any indication from Schwarzenegger’s office that his drought watch turns into a mandated drought restrictions. What is the process that happens there?
Richard Roth: It’s a pretty darn good question. I think there is a lot of uncertainty and maybe even confusion surrounding who actually has the authority to mandate conservation. And there is a lot of talk about mandatory conservation and a lot of that authority rests within the local jurisdictions, municipalities and of course ultimately with the CPU C2 [ph] but it is difficult for the state to broadly mandate rationing or mandatory rationing. So, I think it is going to be more of a fact in the circumstances locally based decision due to obviously water supply in different areas and different political climates as well.
Heike Doerr – Janney Montgomery Scott: When you say locally, do you mean bulk water providers (inaudible) Santa Clara or do you mean the – or what else would it be, could it be a city ordinance?
Richard Roth: Yes, it could be a city ordinance. The Santa Clara Valley Water District yesterday decided that they were going to develop the mandatory rationing plan in the event that the drought continues but oddly enough they don’t really possess the authority to mandate mandatory conservation. Now, a lot of it is – the way it occurs is like there are policies saying you can’t water on this day or that day or alternate days and it’s reflecting back to say the ’86 or ’92 the last drought we had, we had a CPUC mandated. Sort of it was really more tiered rate than anything but there were levels established above which the rates increased dramatically and it was based on prior usage and so forth. We have some experience, not necessarily with mandatory conservation but with conservation pricing from our droughts in ’86 or ’92.
Heike Doerr – Janney Montgomery Scott: Okay. That’s helpful. Thanks, I appreciate it.
Richard Roth: You are welcome Heike.
Operator: Your next question comes from the line of Andrew Levi from Brencourt.
Andrew Levi – Brencourt: Can you hear me?
Richard Roth: Yes.
Andrew Levi – Brencourt: Okay. I remember seeing something on one of the Moss Brothers selling a portion of their holdings. I was just wondering if that was correct and also if you can give me an update on where we are with that maybe (inaudible) as well?
Richard Roth: I think what happened there, I was just consulting with one of our colleagues here that that was a gift to one of the institutions, an educational institution and that institution, they may have sold it, I am not sure of that but I think it was a gift rather than a sale.
Andrew Levi – Brencourt: Okay, so it wasn’t actually on the market, alright, thank you very much.
Richard Roth: You are welcome.
Operator: Your next question comes from the line of Bill Garrison from Ironworks Capital. Please proceed.
Bill Garrison – Ironworks Capital: Yes, thank you, just a handful of quick financial questions. Within the G&A expenses, would you be able to disclose how much of that might have been one time with respect to the move during the second quarter?
Angela Yip: It is approximately $20,000. That can be very immaterial.
Bill Garrison – Ironworks Capital: Secondly, would you, I know this will be in the queue but would you be able to disclose what the CapEx was during the quarter?
Angela Yip: Hang on a second. You mean the CapEx that we have achieved so far?
Bill Garrison – Ironworks Capital: Yes, during the quarter.
Angela Yip: Of construction activity so far, we have approximately $30 million as of June 30.
Richard Roth: That’s for the first six months.
Angela Yip: The first six months, right.
Bill Garrison – Ironworks Capital: Yes, okay. And the budget there is around $50 million for the year?
Angela Yip: Yes.
Richard Roth: This $30 million includes Bill some contribution to aid the construction as well. So, Angela do you have that level for that, take that out of the numbers?
Angela Yip: The actual amount?
Richard Roth: No, the CIAC.
Angela Yip: The CIAC approximately $5 million.
Richard Roth: So, it looks like Bill if you take the $5 million out of the $30 million it looks like it is tracking a little close to the $50 million.
Bill Garrison – Ironworks Capital: Alright. Lastly, I assume you have a new letter of credit in place. Would you be able to share what the terms and capacity is on that?
Angela Yip: Are you referring to the line of credit, what are you talking about in terms of the line of credit?
Bill Garrison – Ironworks Capital: Yes, I thought I read in the last Q where your previous one was said to expire on June 1 –
Angela Yip: The line of credit with the commercial banks?
Bill Garrison – Ironworks Capital: Yes.
Angela Yip: We renewed it at exactly the same terms and conditions. It is just an extension for another two years.
Bill Garrison – Ironworks Capital: So, $35 million and you pay for something percent of that?
Angela Yip: Yes.
Bill Garrison – Ironworks Capital: Okay.
Richard Roth: Low 4s [ph].
Bill Garrison – Ironworks Capital: Okay, that’s all I had, thank you.
Operator: Your next question comes from the line of Steve Gambuzza from Longbow Capital. Please proceed.
Steve Gambuzza – Longbow Research: Hi. Do you currently have the coupled rates or your rates tied to volumes?
Richard Roth: No, they are still tied to volumes and we expect a conservation-based rate Steve. We’ll be in effect probably around the first part of 2009. We are going through the process, there is some drought decisions out there but those decisions have to go through a series of review and implementation and comment period.
Steve Gambuzza – Longbow Research: So, is that part of a rate case or is that just a separate decoupling procedure?
Richard Roth: That’s separate process Steve.
Operator: (Operator instructions) At this time you have no further questions, I would now like to turn the call back over to management for closing remarks.
Richard Ruth: Thank you. I appreciate everybody’s attention and we look forward to talking to you next quarter. Thanks again.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference call. You may now disconnect and have a wonderful day.